Operator: Good morning, everyone. And welcome to the Sealed Air conference call discussing the company's third quarter 2009 results. This call is being recorded. Leading the call today we have William V. Hickey, President and Chief Executive Officer; and, David H. Kelsey, Senior Vice President and Chief Financial Officer. After management's prepared comments, we will be taking questions. (Operator instructions) We ask that you limit yourself to one question and a brief related follow up question per caller, so that others will have a chance to ask their questions. Additionally, they will be accepting text questions which can be submitted on the webcast page. And now at this time, I would like to turn the call over to Amanda Butler, Director of Investor Relations. Please go ahead, Ms. Butler.
Amanda Butler: Thank you, and good morning, everyone. Before we begin our call today, I'd like to remind you that statements made during this call stating management's outlook or predictions for the future are forward-looking statements. These statements are made solely on information that is now available to us. Our future performance may be different due to a number of factors. Many of these factors are listed in our most recent end report on Form 10-K. We've also posted supplemental financial information and reconciliations of non-US GAAP measures that we expect to discuss on our Web site at sealedair.com, in the investor information section, under quarterly results. And now I'll turn it over to Bill Hickey, our CEO. Bill?
William Hickey: Thanks, Amanda. Good morning, everyone. I'm Bill Hickey, President and CEO of Sealed Air Corporation. With me on the call today, in addition to Amanda, we have Dave Kelsey, our Chief Financial Officer. During today's call, I'd like to highlight our business performance in the third quarter, and update our 2009 guidance. Dave will then discuss details of our financial results. After Dave's remarks, we'll take your questions from both from the telephone lines and via text on our webcast. This morning we reported a 36% increase in our adjusted diluted earnings per share in the third quarter, or $0.38 per share. This figure excludes a number of items which we highlighted in our press release and financial schedules. This increase in earnings reflects incremental $20 million in benefits we delivered in the quarter from our various global manufacturing strategy and cost reduction programs, bringing our year-to-date benefits to approximately $70 million. Our disciplined management of expenses, a positive $60 million variance in resin costs on a year-over-year basis, and higher volumes in our food packaging business, together these factors help drive a 29% increase in our adjusted operating profit and a 390 basis point increase in our adjusted operating margin. Additionally, we highlighted an approximate $100 million increase in free cash flow in the third quarter, which Dave will speak to in his prepared comments. Overall, I believed these results reflect solid execution by the entire Sealed Air team and value creation for the business. We feel that our strategy and operational plans are serving us well today and preparing us for the future. Looking at top line performance, sales declined 5% if you exclude the impact of foreign currency translation. Volumes in product mix, price mix declined in the quarter by 4% and 1% respectively. The volume decline largely reflects the ongoing weakness in our protective packaging business in North America and Europe due to the economic conditions. The decline in price mix primarily reflects a decline in price mix in our North American food packaging business where we did renew some long term contracts and gain new customers that incorporated current resin prices. Geographically, the North American and Western European regions continued to experience year-over-year declines in volume with the United States showing some improvement in protective packaging sales. The most positive shift occurred in our developing regions of the world, where constant dollar sales increased 5% in the quarter on a year-over-year basis. Sales grew at double digit rates in Russia, Poland and Ukraine, 1% in Brazil, and by 8% in the balance of Latin America. Looking at the Asian region, constant dollar sales in greater China, where we primarily serve the export markets, although they declined 4%, this was an improvement over last quarter's volumes as export markets picked up modestly in the quarter. Looking at our three main business segments, I would like to highlight that our food packaging segment increased 4% in constant dollar sales reflecting the 5% volume growth and 1% price mix decline. The strong rate of volume growth was largely attributed to favorable volume comparisons, which we mentioned in our press release earlier this morning. However, when we exclude this factor, we still delivered a 1%-plus increase in constant dollar sales. If we were to exclude from the food packaging business our equipment sales, which were down in the quarter, sale – material sales would have increased by approximately 2%. Globally, volumes largely tracked to regional annum production rates, except in the Americas where volume tracked above the usual proxies. In North America, our significant presence in warehouse and discount outlets was a benefit, as consumers continue to eat at home and shop for bargains. Additionally, we gained market position in our vacuum shrink bags which lifted our volumes further above the market trends In Latin America, a 4% volume increase included growth in Brazil, where increase in domestic beef consumption helped defer lost export sales to Europe. Switching to price mix, the 1% or $5 million decline in the quarter was really isolated to the North American price variance which I mentioned earlier. All other regions have been doing a great job in maintaining positive price mix in this challenging economy. As I commented in the press release, innovation continues to remain a core focus. Starting today, our food packaging and food solutions teams will be out at the Worldwide Food Expo and the American Meat Institute show in Chicago, show casing our new packaging software solution, the Pakformance as well as the number of enhanced cooking bags, two new automatic bag loaders, and a deli snap tray. All of which will continue to differentiate us in the market and provide measurable value and meaningful cost savings to our customers. Moving to food solutions, this segment had a 4% decline in constant dollar sales, which was due to a 2% decline in both volumes and price mix. Although we are disappointed with a lack of growth, weak consumer confidence, more eating at home, less eating in food service outlets and restaurants, and economizing overall, are resulting in lower meat consumption in Europe, which continues to be food solutions business' greatest challenge. The volume declined was isolated to Western Europe, and in particular, Southern Europe and largely within our case ready portfolio. North American sales were steady on a year-over-year basis, which was aided by an expanded customer base. In all other regions, volume grew at double digit rates, 10% in Latin America and more than 15% in Australia and New Zealand, and 18% in Asia. Our lower price mix in the quarter was primarily due to normal price adjustments in our tray business, which is a largely outsourced product, and mainly formula based. In this environment, our team has really focused on growing the top line in new products such as Darfresh, our new EZPak and tray lid products as well as expanding our vertical pouch packaging solutions, both geographically in Latin America, and in new none-protein applications such as frostings for bakery applications and consumer food service products like peanut butter. The protective packaging segment saw the most positive change in the third quarter, both on a year-over-year and on a sequential basis. A seasonal lift combined with modest inventory restocking by our customers, and our own new product placements, reduced the North American volume decline to 12% in the third quarter as compared with 20% in the second quarter. Earlier this month, the US Protective Team was at the Pack Expo Show, highlighting new products within a number of product families, including new platforms for Instapak foam-in-place, PackTiger paper-based cushioning, Fill-Air inflatable packaging, and PriorityPak automated packaging systems. Our expectation is that these launches will continue to drive ongoing adoption, as they provide opportunities for our customers to save money in their own internal packaging operations. Additionally in the quarter, our Asian business saw 7% volume growth due to a slight increase in export activity. We believe that this increase appear in line with external trends. Looking ahead at price mix, the 3% decline in the quarter reflected some additional price concessions which we made among our more mature product offering. Before I hand the call over to Dave, I'd like to cover our geographical footprint as well as an updated full-year 2009 earnings guidance. As you listened to the results today, I think you see longer term – the significant benefit Sealed Air has with its global footprint. Although the US economy may be slow, we are seeing meaningful growth in other parts of the world. And as I continue to remind our – myself and our organization that 95% of the people in the world live outside the United States and the opportunities in the future are going to be in those parts of the world. As you saw on our press release earlier today, we have now raised the lower end of our full-year earnings guidance by $0.10 per share. Our guidance is now $1.27 to $1.35 on a GAAP basis which includes the charge of $20 million net of taxes or $0.08 per share related to our ongoing global manufacturing program, and $4 million net of taxes or $0.02 per share for the loss on the early retirement of our convertible securities during the summer, and impairment of our available for sale auction rate securities which we recorded in the third quarter. Excluding these items, we have now raised the lower end of our full-year EPS to a $1.37 to a $1.45 per share. This compares to our previous guidance of $1.17 to a $1.27, or $1.25 to a $1.45 on our adjusted basis respectively. We feel this adequately represents solid business growth on a year-over-year basis, and as we reflect on looking forward to the fourth quarter. We expect to continue to realize benefits from our global manufacturing program and cost reduction productivity programs that we implemented earlier. We will remain disciplined on operating expenses and we expect to experience only a modest increase in raw material prices in the fourth quarter. Our guidance range is driven by the variance we may see in volumes in the fourth quarter, as we remain cautious due to the uncertainty in consumer confidence and discretionary spending particularly in the upcoming holiday season. And further, in light of the drop in consumer confidence that was reported yesterday. We do feel that we should continue to see sequential constant dollar growth in our food packaging business due to both seasonality and market position gains. We are expecting food solutions and protective packaging to be stable quarter-over-quarter, based on current economic conditions. Our updated assumptions also reflect the full year effect of income tax rate of approximately 26%, down slightly from our earlier 27.7%, and capital expenditures of approximately $80 million to $100 million, reduced from $100 million to $125 million. Now, I’m going to turn the call over to Dave Kelsey to review some additional details on our financial performance and liquidity position, and will be back for your questions later. Dave?
David Kelsey: Thank you, Bill. As presented in the financial statements that accompanied our release, sales are $1.08 billion in the quarter. For additional details on the components of net sales for the quarter, please review our supplemental financials posted on our Web site sealedair.com. Gross profit increased $70 million to $311 million or 6% in the quarter, compared to the prior year. Adjusting for the unfavorable 2009 impact of foreign currency translation, gross profit would have been $329 million or 12% higher than last year. The margin impact of lower sale volumes was more than offset by approximately $60 million and lower raw material costs, approximately $25 million in benefits from both our global manufacturing strategy, and our 2008 cost reduction and productivity program as well as a $14 million reduction on a constant dollar basis in trade – in energy costs. Marketing, administrative, and development expenses decreased $13 million in the quarter, compared to the prior year. On a constant dollar basis, adjusted operating expenses were $189 million, which is $4 million or 2% lower, compared to the prior year. Contributing to the reduced operating expenses was an approximate $6 million benefit from our cost reduction and productivity program in lower travel and entertainment expenses of approximately $3 million from the prior year. These benefits were partially offset by variable incentive compensation in the current quarter, compared to the reduced accruals in the prior year. Operating profit after adjustments increased 29% to $133 million from $103 million last year. Interest expense increased, by $11 million to $200 million in 2009, compared to 2008, reflecting additional interest expense of $17 million in the third quarter on two first-half note issues. Our 12% note issued in February of 2009 and 77.8% notes issued in June, 2009. Partially offsetting the additional interest expense was a reduction of $7 million of interest expense, resulting from the maturity of our five and three days notes in May, 2009, and the redemption of our 3% convertible note in July, 2009. Looking ahead to the fourth quarter, we are expecting interest expense to be comparable to the $42 million incurred in the third quarter, bringing our expected full year interest expense to approximately $155 million. In connection with the redemption of our 3% notes, we recorded a loss of $3 million, which represented a call premium, and the write down of the remaining balance of the original debt issuance cost. The cost of 3% notes was convertible into Sealed Air common stock. The redemption reduced the number of common shares outstanding included in our diluted EPS calculation by 10 million shares for the third quarter and by four million shares for the nine-month that ended September 30th. The impact of the 77.8% senior note issuance and the 3% senior note redemption resulted in higher interest expense, but a lower number of diluted shares in our EPS calculation, which is expected to reduce our full year EPS by approximately $0.03. We have not treated this as an adjustment to our full year guidance. Next, I would like to summarize the cost in benefits of two of our key programs. First, the cost reduction and productivity program we announced in July of 2008 to reduce employment by approximately 900 or 5% of our workforce from June 30th, 2008. We realized approximately $12 million of incremental savings in the quarter, and approximately $38 million of incremental savings year-to-date. These savings were split almost equally between cost of sales and operating expenses. From a cash flow perspective, we made cash payments of approximately $7 million in the quarter and approximately $32 million year-to-date, primarily for termination benefits. Of the remaining $12 million in payments, $6 million will be made during the balance of the year, with approximately $6 million falling in 2010. Second, related to the implementation of our global manufacturing strategy, we recorded charges of $3 million largely in cost of sales. Our incremental benefit through nine months has been approximately $15 million, and we remain on track to realize incremental benefits of $20 million in 2009. This should bring our cumulative benefit to $45 million at year-end, increasing to $55 million in 2010 and thereafter. I’ll conclude with some key balance sheet and cash flow items. Our receivables decreased $4 million on a constant dollar basis from June 30th, 2009. Also on a constant dollar basis and excluding the repurchase of $135 million of receivable included in our receivable securitization facility in September 2008, accounts receivable would have decreased approximately 14%, compared to September of last year. In the third quarter this year, we did not utilize our accounts receivable securitization facility. We continue to be focused on our credit and collections effort in the current economic environment. And to date, we’ve not experienced any material deterioration in our accounts receivable portfolio. Our day sales outstanding were one day lower at September 30th, 2009 and at September 30th of 2008. Inventory adjustment at September 30th declined $16 million from June 30th of 2009. On a constant dollar basis, inventories decreased $30 million. Compared to September 30th of last year, inventory investment was down $123 million or $140 million after adjusting for currency translation. This continues to be a coordinated effort involving sales, supply chain, customer service, and support from finance and information systems. Debt, net cash, and cash equivalents at September 30th was $1.112 billion, down $238 million or 17% from the end of December. This decrease is attributable to the free cash flow we generated in the first nine months of 2009. As an aside, another use of free cash flow has been to pay $57 million of dividends to our shareholders over the first nine months of the year. I will conclude by providing an update on Sealed Air’s liquidity position and cash flow. First, at Sept 30th, we had $487 million in cash and cash equivalents. In addition, we continue to have access to nearly $700 million of committed borrowing capacity. Free cash flow, one of our key metrics as a management team, gets close attention. As shown in the supplementary information furnished with the financial statements, we generated $339 million of free cash flow for the nine months ended September 2009, compared to $75 million last year. In fact, the $339 million is more free cash flow than we’ve generated annually in any of the past five years. On a constant dollar basis, both our accounts receivable and inventory contributed to our positive year-to-date free cash flow performance. Capital investment has been lower in 2009 than the recent years as work is largely completed on our three GMS related new plans. Our total year capital investment now is expected to be approximately $80 million to $100 million to be used for a combination of maintenance in growth projects. This level of investment is consistent with our spending before commencing our GMS projects in 2006. Our current available liquidity and projected free cash flow positions as to fund both our day-to-day operations and the W.R. Grace settlement should it become payable within the next 12 months. Please note though that there are still no dates certain for the funding of the settlement. And now, I’ll turn the call back to Bill and to your questions.
William Hickey: Thanks, Dave. Operator, we’d now like to open up the call to questions from the participants. And we’ll follow up with any questions from our webcast participants as well.
Operator: Thank you very much. (Operator instructions) Once again, as a reminder, we ask that you limit yourself to one question and brief related follow up question so that more questions can be taken during the day. And your first question comes from the line of George Staphos, please proceed.
George Staphos – Bank of America/Merrill Lynch: Thanks, everyone. Good morning. Bill or Dave, the first question I’ve got is on protective packaging in North America. Could you provide some additional color in terms of how the business trended over the course of the quarter? And then, the second related question is, there have been significant changes in the US manufacturing economy, obviously, both cyclically, but also on a secular basis. How are the new products aimed at addressing some of these changes and leveraging your performance going forward? Thanks.
William Hickey: Yes. Sure, George. Let me take your protective question in North America, and I’m actually looking at numbers month-by-month. And July and August were pretty flat. I think we said it earlier on the July call that we’ve not seen any real pick up in the business at the end of July. And in September, our order rate picked up. Now, some of that’s normal seasonality. It would normally pick up some packaging supply buy for the holiday season. So I wouldn’t read that much into it, but there is a seasonal pick up. And the other part, in talking to customers, I think that a lot of customers had held back spending for so long in 2009 that they were essentially fully de-stocked. So I think there was a modest, and I’ll say, only a modest restocking. We are seeing more frequent orders and smaller orders. But generally, September was a couple of percent uptick. I think the numbers turned out to be 9% if you take that – well, if you take that effect is a non-North American number. But it was up in single digits in the month of September. And we are crossing our fingers for the rest of the year, George. Do your holiday shopping early.
George Staphos – Bank of America/Merrill Lynch: I’ll do what I can. Just Bill, just to be clear, those were year-on-year percentages you were giving or what was your perspective in giving that?
William Hickey: Those were sequential, George. Those were sequential.
George Staphos – Bank of America/Merrill Lynch: Okay, got it.
Operator: And your next question comes from the line of Ghansham Panjabi of Robert W. Baird.
Ghansham Panjabi – Robert W. Baird: Hey, guys. Good morning.
William Hickey: Good morning.
Ghansham Panjabi – Robert W. Baird: Just as a follow up to George’s question on protective, given that volume still seem weak year-over-year. And run through prices seem a little bit more stable. The credit crunch seems to have eased somewhat. What’s your view on the competitive landscape for this business, not just in the US, but just geographically? Thanks.
William Hickey: I don’t think the competitive landscape has changed too much. I know one of the smaller competitors changed ownership earlier in the year and de-listed from the Toronto stock exchange. The rest of the competitors seem to be pretty much holding their own. Ghansham, I haven’t seen any particular trends in change in landscape. Right now, there is more capacity in the system than there is demand. So we probably – like other people who have taken lines out of production, we are running some plants at probably three days a week. So we’re trying to balance supply with demand. And I would expect the industry overall probably doing the same thing, Ghansham.
Ghansham Panjabi – Robert W. Baird: Okay. And just as a follow up, how much do you estimate that lower fix – of fixed costs have cost you in the quarter then? Got the number?
William Hickey: Yes. Well actually, we’ve taken fixed cost out. We have done – the supply chain team and the manufacturing group has done a remarkable job between – not only the GMS program, which is several years older. There is more strategic level as opposed to the cost reduction program that we began middle of last year when we first saw the signs of the economy slipping is of the 900 or so headcount we took out of the company, more than half of that was on the supply chain manufacturing side. So we've essentially lowered our fixed cost. I don't have the number off the top of my head, but it's in the millions. So that there's less fixed cost to be unabsorbed, maybe that's the simple way of saying it.
Ghansham Panjabi – Robert W. Baird: Okay.
William Hickey: But there probably is some, but I would say that it's less than – it would have been, had we not reacted as promptly as we did.
Ghansham Panjabi – Robert W. Baird: Okay. Thanks. Thank you.
Operator: And our next question comes from the line of Rosemarie Morbelli of Ingalls & Snyder. Please proceed.
Rosemarie Morbelli – Ingalls & Snyder: Good morning, all. Bill, you mentioned that you experienced some decline in your selling prices as your – some of your costumers signed up new contracts and they rarely took advantage of the fact that raw material costs for a downfall in a while. Now you are looking at raw material costs going back up even if it is not a lot. Should that translate into margin pressure in the fourth quarter? Or do you think that you can, for certain product lines, get your selling price increases in line with raw material costs movement?
William Hickey: Yes. Well, Rosemarie, the new contracts we signed, those all have – because they are multi-year contracts, they do have price formulas built into them. I think a couple of customers took advantage of the opportunity, and said, “Gee, we've got one year left on our contract or six months left on our contract, we'll do a multi-year renewal, but we'll repay the starting point.” So in essence, there was a little bit of a step down. But now they're back on the formula going forward, and those are multi-year contracts. So there should not be a meaningful effect on margin should prices change all our expectations in the fourth quarter. The impact is probably going to be less than a penny a pound on our overall resin spend.
Rosemarie Morbelli – Ingalls & Snyder: Okay. If I may on the ETHAFOAM, is the Dow inventory definitely gone. And now that you are making it yourself, I think for one full quarter at this stage, do you still see a $0.05 annual benefit per share? And have you seen any in Q3?
William Hickey: Okay. Yes. That's a great question, Rosemarie. In fact, if any or our special material folks are on the line, they have done a remarkable job in – got the Dow inventory down to less than $0.5 million dollars. And I guess what they'd like to say is what's left is rats and mice. And the new line has started up in Louisville. I was at the plant a week and a half ago. It is a phenomenal production line. It essentially is a significant reduction in our existing lines cost structure. Now the $0.05 a share is going to be a challenge because we got to have some volume to do it. We've got to have some volume to do it. The $0.05 a share was based on 2008 volume. That volume has come down as you can see in our numbers. So it will be much more positive contribution at the margin line from sales of the ETHAFOAM product. But I'm not ready to predict whether we'll get $0.05 because the volume levels are and at the level we used to calculate the $0.05.
Rosemarie Morbelli – Ingalls & Snyder: But we still did not generate any income in Q3?
William Hickey: No.
Rosemarie Morbelli – Ingalls & Snyder: Okay. Thanks.
Operator: And your next question comes from the line of Claudia Hueston from J.P. Morgan. Please proceed.
Claudia Hueston – J.P. Morgan: Thanks very much. Good morning.
William Hickey: Good morning.
Claudia Hueston – J.P. Morgan: Free cash flow continues to pass our expectations. I was hoping you could comment on the sustainability of your working capital gains and any priorities for cash on a near term and a medium term basis?
William Hickey: I'll just make a quick comment for (inaudible), but this is the ATM you can own. Dave?
David Kelsey: Yes. As I mentioned in my prepared remarks, our free cash flow first nine months is higher than what we've generated in a full calendar year over the past five years. The levers are in place for us to have positive free cash flow again in the fourth quarter. We'll have cash supplies from operations. We would expect receivables to continue to track with sales, so not much movement in the outstanding balance there. In inventories, based on the programs we have in place, we would expect them to continue to trend down through year-end. And we've given reduced guidance for CapEx. So we don't expect CapEx to use as the standard portion of the cash from operations in the quarter. So I'm not going to give you a number for the total year, but all indications are it will be a measurable step up from the June – I mean, the September year-to-date generation.
William Hickey: Thanks, Dave.
Claudia Hueston – J.P. Morgan: And then just your priorities for cash?
David Kelsey: Well, I mentioned dividends.
William Hickey: And pay down debt.
David Kelsey: And we've been building up our cash balance in anticipation of the W.R. Grace settlement payment occurring in 2010. Beyond that, we will use cash to continue to reinvest in the business and achieve our long term objectives.
Claudia Hueston – J.P. Morgan: Okay. Thank you.
Operator: And your next question comes from the line of Sara Magers [ph] of Wells Fargo Securities. Please proceed.
Sara Magers – Wells Fargo Securities: Good morning. You mentioned lower volumes in the European food solutions business. But within the consolidated segment, the year-over-year volume decline rate moderated from the first half of 2009? Actually it was the same for food packaging. And I see that year-over-year pricing was down as well. Could you give us a bit more detail on the reasons behind that? I mean, maybe it was a mix issue, but 'm just wondering what the dynamics.
William Hickey: Okay. You're looking at food solutions or food packaging?
Sara Magers – Wells Fargo Securities: Actually, both. I mean you look at the year-over-year volume decline rates, and I think for food solutions, you were down 1.5%–
William Hickey: Correct.
Sara Magers – Wells Fargo Securities: –in the quarter, whereas in Q2 '09 you were down 5.9%, and in Q1 you were down 5.2%. I'm wondering about – but the pricing – and the pricing kind of changed as well. I'm just wondering about–
David Kelsey: Let me try to give you a snapshot here. If the pricing is down primarily in trades as I said on my calls. As you know from what I've said before is, trays are generally an outsource product. We buy it and we resell it, marry it up with our film solution for case ready. And the trays are generally more contract-based because they're more a commodity item so that we just pass those through. So that affects the price. Now on the volume side, the European food solutions numbers are down, and is primarily in Spain and in Italy, which are two very meaningful case ready markets for us. And with unemployment in Spain, I think, in the teens, and Italy probably not far behind that, we're just behind that consumption of our product is actually down in those economies. Now that's being somewhat offset because in the rest of the world, the food solutions business is growing. So you've got a couple of moving parts here, Sara.
Sara Magers – Wells Fargo Securities: Okay.
David Kelsey: You've got price down, primarily in Europe. You've got volume down primarily in Europe. And you've got volume up in the rest of the world.
Sara Magers – Wells Fargo Securities: Okay. And just a follow-up on that – in Europe. Have you noticed any change in consumption patterns so far in Q4? And do you expect any changes going into the holiday season at all?
David Kelsey: That's the big question, is the holiday season. There is always a seasonable pick-up, and most of that would be in food packaging, which primarily serves – if you look at the rose in the larger cuts, those are more a food packaging product. So we are seeing a seasonal pick-up. It's a question of how good it will be. Food solutions rely much more on the more convenient side of eating, caters a lot more to the restaurant trade and to the ready-meal prepared foods. And we haven't seen consumers step back up to those commitments yet.
Sara Magers – Wells Fargo Securities: Okay. Wonderful. Thank you.
Operator: And your next question comes from the line of Richard Skidmore of Goldman Sachs. Please proceed.
Richard Skidmore – Goldman Sachs: Thank you. Good morning. I just wanted to maybe focus a little bit more on the food packaging volume growth in the quarter. Bill, you mentioned that I think you said North American volumes were better than production. And it looks like the outlook for protein looks maybe to be a little weaker in 2010 versus 2009. Can you elaborate on that as well as you made a comment about Brazil? I thought we were cycled through the Brazil export issue to Europe at this point.
William Hickey: Right, right. Let me go back to your first thing. In North America, volumes are actually up. You can see on one of the attachments on the Web Site, is we're actually up in terms of units, 5.2%. In a market that has essentially been flat from a protein point of view. But we say we've picked up some new customers. I think we've gained market position, and I think that's really helped the business in the Americas. On the Brazil side, while we're seeing – although we've (inaudible) the European exports, so it's flat period-to-period, the pick-up we are seeing is more of domestic consumption picking up in Brazil rather than the meaningful change in the export situation.
Richard Skidmore – Goldman Sachs: And maybe just to follow-up on that. Do you get the sense that you'll start to see any pick-up in the Brazilian exports to Europe or is that a structural change that's now going to be there for a while?
William Hickey: No. I think it's more right now the economy. I think it's more the economy. I think that structural issues that came up in terms of trade have substantially been resolved. Now basically, it's an economic issue. And don't forget the Brazilian – one of the things you'll learn when you work this global meat trade is look at the exchange rate because it's a real influence on who's buying what. I mean, it's interesting. The Australia, just to give you a quick geography, with the strength of the Australian dollar, which is primarily driven by commodities, has really made Australian beef non-competitive, less competitive. So US beef export financially benefited in the year. Now for our business, it doesn't make much difference. In Brazil, the Real has really strengthened over the last couple of months. And that's really raised the effective cost of Brazilian beef going to Europe.
Richard Skidmore – Goldman Sachs: Okay. Great. Thank you.
Operator: And your next question comes from the line of Peter Ruschmeier from Barclays. Please proceed.
Peter Ruschmeier – Barclays: Thanks, and good morning. Most of my questions were answered. But I was hoping, Bill, that I can ask a big picture question on your business. If you could help to differentiate for us what you're seeing from large customers versus small customers. And I guess, the Genesis of the question relates to whether the credit crunch is hitting your smaller customers more than your bigger customers? And if so, how are you responding in this climate?
William Hickey: Yes. I think that you are seeing more effect on smaller customers, particularly on the protective side. On the food side, it's interesting. The additional business were picking up, and the contracts we're doing out multi-years, are generally the larger customers. The smaller customers have been the most trying. The bankruptcies we have faced, which very fortunately have been very modest, have been at the smaller customer lever. And we're seeing that particularly in Latin America where a lot of the smaller producers are struggling much more than the bigger customers. And I think that's true around the world. But in the US, the segment that you probably heard picked up multiple times in the media is – small business has yet to recover. And I think that's a fairly accurate statement.
Peter Ruschmeier – Barclays: Okay. Thanks. If I could ask just a quick follow-on, unrelated, but I think it's a quick question. It relates to, can you quantify the revenues, ballpark, that you might be considering with these new product placements and protective packaging? Is it tens of millions of dollars? Can you quantify that for us?
William Hickey: Well, they're introduced within – in the fourth quarter. So very honestly, the fourth quarter impact will be probably very modest. Hopefully the volume will pick up with these in 2010. I do think they're really significant developments in terms of product packaging technology, and I think are a step ahead of what's available out there in the market place. But I wouldn't want to speculate what the number might get to.
Peter Ruschmeier – Barclays: Okay. Very good. I'll turn it over. Thanks.
Operator: And your next question comes from the line of Joseph Naya of UBS. Please proceed.
Joseph Naya – UBS: Hi, good morning. I was just wondering, you mentioned that the hydro-chemical benefit in the quarter was about $60 million. You know what that number would be year-to-date?
David Kelsey: It's in the – yes. We’ve been running about $60 million or $65 million a quarter, pretty consistently, over the first three quarters.
Joseph Naya – UBS: And just a on a related topic, do you have any thoughts at this point in terms of the outlook for resin going into 2010, what you might see with pricing there?
William Hickey: Yes. We’re essentially looking at reasonable, stable resin prices. We’re looking – they've got some slight increases in a couple of the commodity – commodities. But by and large, we’re not looking at a significant increase. Our own outlook is – overall, if we aggregate our spend, it's a couple of cents a pound.
Joseph Naya – UBS: Okay. But you are expecting that it will be up year-over-year?
William Hickey: Yes. But slightly.
Joseph Naya – UBS: Okay. Okay. Thanks.
Operator: And your next question comes from the line of Al Kabili of Macquarie Securities. Please proceed.
Al Kabili – Macquarie Securities: All right. Good morning. I just wanted to clarify a little bit on the outlook. It sounds like seasonally the fourth quarter is a bit stronger, yet – and you saw nice pick up in September in the protective packaging business, yet in the outlook you commented some caution in seeing sequential sales increases in the fourth quarter, and just wanted to understand what might be driving that caution given the third quarter trends and the seasonality?
William Hickey: Sure. No. That's a good question and one that’s – if I try to – I tried to address it earlier when I talked about what we see in September in protective. In protective, I felt the 9% increase sequentially was a very positive sign and looking at the order book. The real concern is that some of that is a restocking of very, very low levels. And I feel more comfortable waiting until the full of October goes through to know whether it’s sustainable or not. The business ordinarily has a seasonable pick up in the fourth quarter, and it seasonally is based on packing for holiday shipments. And that generally runs in the September to November period. And depends on how robust the holiday is, it can really drag in to the first week in December for some of the Internet retailers. And we’re cautious as to whether what we saw in September will carry through as people become more cautious on a holiday outlook and as inventories remain very low.
Al Kabili – Macquarie Securities: Okay.
William Hickey: It's a kind of caution on my part.
Al Kabili – Macquarie Securities: Got it. Okay. That’s helpful. And then on the – just wanted to clarify on the competitive environment a bit. You mentioned market share gains in food packaging. Could you give us some color on how much additional – what kind of boost to volume that gave you on a year-over-year basis? And then also, are pricing trends at this point in the protective packaging business a more commoditized – product lines or pricing trends, have they at this point stabilized?
William Hickey: Yes. Let me go back to your first question on food. It’s really not our practice to talk about where gains come from. I would just say that some of our customers and some other people who had not been our customers have found our products to be a better answer for their packaging for a variety of reasons. On the protective side, pricing is relatively stable and probably has been for – from end of the second quarter.
Al Kabili – Macquarie Securities: Okay. Thank you.
Operator: And your next question comes from the line of Mark Wilde of private investor. Please proceed.
Mark Wilde – Deutsche Bank: Essentially, Mark Wilde from Deutsche Bank. But that’s fine. Bill, historically one of the ways that you’ve grown the company is you’ve picked up a lot of small companies that have new technologies, new products. I just wonder, with credit continuing to be so tight for small to medium sized companies, if this is helping create some more opportunities for you?
William Hickey: Yes, Mark. The answer is, yes. I think that we continue to look for those opportunities. As you know, Sealed Air has always been excelled at finding new packaging technologies and giving them the scale and scope and footprint that our organization can bring. There’s nothing that we can talk about now. But I will say that given this environment, we’re probably more positively attuned toward looking at M&A opportunities going forward.
Mark Wilde – Deutsche Bank: Okay. And then Bill, this is a follow on. I’m just curious with the way the global economy and your business seems to be performing right now with the growth in the emerging markets, whether that's got you thinking about even more changes in your manufacturing footprint and your global positioning over the next few years?
William Hickey: I think it's too early to say. We just build out. We just stated that earlier, we just built out our plants in Latin America, and, Brazil, and Latin America, China, and Eastern Europe. I think, let's get those settled down. We’ll take another look at – as the global economies sort of starts to move forward in 2010, and decide if we need to do anything different.
Mark Wilde – Deutsche Bank: Okay. Thanks, Bill.
Operator: And your next question comes from the line of Stephen Simmons from FBP. Please proceed.
Stephen Simmons – FBP: Yes. Stephen Simmons, Flippin, Bruce & Porter. Just to go back to a long term goal, I think the company had from an operating margin standpoint of 15%. You’ve talked about that a couple of times this summer. At a conference, you talked about the 15% goal and possibly hitting that in a year or so. Just wondered if, from a timing standpoint, if you could talk about that a little more?
William Hickey: Well, I’m not sure I can give you a specific time. I will tell you that what's actually will be helpful in that, is the fact that the various programs we’ve done in response to the economy and the recession I think, have brought down our essentially fixed cost. So as we begin to see some recovery in volumes, moving towards that number will be, I think sooner under the current cost structure we have today than it – than I might have projected a year ago. But I’m still not ready to tell you when that could be, because I’m not sure when volumes are going to get back up to those levels. But with our current cost structure and the things we have done and are doing, we will become very leveraged to increases in volume and the impact that can have on the bottom line.
Stephen Simmons – FBP: If I could just ask one follow up, if you could – if you look back at sales in 2008 of $4.8 billion, if you could get back to that level, is that what you really need to see? Or is it something short of that?
William Hickey: That’s probably a reasonable place to start.
Stephen Simmons – FBP: Thank you.
Operator: And your next question comes from the line George Staphos from Bank of America/Merrill Lynch. Please proceed.
George Staphos – Bank of America/Merrill Lynch: Thanks. Hey, Bill, I want a royalty on that report title by the way.
William Hickey: I thought you’d come back on that George.
George Staphos – Bank of America/Merrill Lynch: Yes. Lucky guess. In terms of the prior question that I'd have, you've launched several new products, we’ve seen a lot in the way of change in the US manufacturing economy, but obviously, cyclically. But on a secular basis, how do these products address some of the change that you’ve seen your customer base here domestically?
William Hickey: Well, two things. Actually, two things, George. It's interesting. One, that these are global platforms. So they’re not just US, North American in platforms, but what they do is they enable our customers to take cost out of their packaging operation. They essentially either simplify, automate, or reduce the amount of packaging customers need through some of the things that we have introduced. And you can probably find the new products introduced on our Web site, which would be a good place to start. But the kind of benefit is lower cost for our customers so they can be competitive in a very challenging economy. But also, for that manufacturing which is being done in other parts of the world, we can bring solutions to them. Because even in China wage, costs are going up and there’s – they are less competitive both on a wage cost basis and on a currency basis. So you are seeing for the first time some interest in taking cost out of a Chinese operation.
George Staphos – Bank of America/Merrill Lynch: Bill, if I could ask a follow on, two parts. Are we seeing some of these new products any – or any opportunity for growing foam in place, especially outside of North America? And then, what – you mentioned what the GMS net benefits would be for next year of $10 million. Is there any residual savings that we should expect out of it from productivity or from the lack of transition cost? Thanks.
William Hickey: Okay. Let me answer your first question. Two of the new products that were introduced last week at the – two weeks ago at the packaging show, one is a fully automated Instapak system, which essentially creates the Instapak foam cushion without people. So that enables a machine to run continuously for a full shift, produce individual components of the package that essentially a packaging line can just install in the box and put the customer's product in without having someone to be there to essentially–
George Staphos – Bank of America/Merrill Lynch: – be trigger happy.
William Hickey: Yes. That's one. The other is a real neat one called Instapak Complete, which essentially – as you know, Instapak has been designed to add a semi-rigid product. Through the Instapak Complete system, we have actually created a sheet – a quilted sheet of Instapak, where it can become a wrap product so it can cushion in a more flexible fashion. So those I'm really very positive on.
George Staphos – Bank of America/Merrill Lynch: Okay. And on the cost side?
William Hickey: Let me have Dave address the other issues on GMS. Okay?
David Kelsey: Yes. I think the – there's a two-fold opportunity there, George. One that Bill mentioned in response to a question about margin improvement, we've brought our cost down from a number of different programs, including benefit from the three GMS facilities. So as we see additional volume growth going forward, that will be directed to our lowest cost global facilities whenever possible. So there is some incremental benefit out there as we get those new facilities up to full volume. We also secured sufficient sized sites that we can add incremental capacity at relatively modest incremental capital dollars, and get benefit from those three Greenfield plants five plus years into the future. So there is a lot of untapped potential there based on incremental volumes.
George Staphos – Bank of America/Merrill Lynch: Okay. Thanks.
William Hickey: Operator, we have time for one more question on the phone and then I'll take the questions on the text. So, would you take the next question, operator, on the phone?
Operator: Your next question comes from the line of Sara Magers from Wells Fargo Securities. Please proceed.
Sara Magers – Wells Fargo Securities: Hi. I just actually wanted to see if I can get an update on those newer facilities, especially the Chinese facility. And then, to follow on to that, I'm wondering about the motivation behind the reduction in planned CapEx for the year. Is it related to these newer facilities or has something else changed to make you a bit more conservative?
William Hickey: I'm sorry. I didn't get that last part of your question.
David Kelsey: The reduction in our guidance in CapEx.
William Hickey: Oh. Okay. Two things. The plants are up and running. Very honestly, we wish we had more volume. They're doing well. They're achieving their unit cost basis, but obviously, we don’t have enough volume there to have it make a meaningful contribution. The plant in Eastern Europe is doing well. So those are positive. Our guidance in CapEx is primarily related to the economy. We had originally expected that we might possibly need to add capacity going into 2010, with the declines in volumes that we see. We are going to push those investments out to the future. And let me let Dave finish up on it.
David Kelsey: Yes. I think one thing we've seen there as well, as a result of these efficiency programs, is we're able to get significantly more production through our existing capacity. So that is in addition to not having all the volume coming our way that we had originally anticipated. We've also made our existing equipment much more productive.
Sara Magers – Wells Fargo Securities: Great. Thank you very much.
William Hickey: Two questions. I got a question from the Internet here from text. Depreciation and amortization stepped up in this quarter. What is the quarterly run rate going forward? What are the outstanding balances on accounts receivable facilities? Dave?
David Kelsey: Yes. I think the run rate on a going forward basis ought to be in line with the third quarter and year-to-date numbers. The main increase is on a year-over-year basis. And that's twofold. As we brought some of this new capacity online, such as the (inaudible) plants that Bill referenced, which is in the other line on the chart in the materials we released this morning, the depreciation of that facility is now showing up there. We also have a new form of equity compensation that our performance share units that get amortized through this category. So we've had that amortization increase on a year-over-year basis. And the other question that had come in related to this or from the same individual was what the quarterly run rate or what is the outstanding balance on our accounts receivable facility? We have not borrowed anything during the quarter on the facility. And we have no outstanding balance.
William Hickey: Okay. Great. Thanks, Dave. I do want to thank everyone for your participation on the call today. I think we're pleased with the results we reported. I think we've got our plan in place. We know where we're going. Cooperation from the economy would be a great benefit. And with a few months remaining in the year, we're going to stay the course on our 2009 plans. We're going to remain focused on managing price, managing expenses, and delivering incremental benefits from the programs we've already committed. We will differentiate ourselves in the market with compelling innovative products. So as we head towards the fourth quarter, we're confident about our position in today's economy and continue to expect meaningful benefits from our efforts when markets improve. Thanks for listening to us today.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.